Operator: Good morning, ladies and gentlemen, and welcome to the Team IR call. (Operator Instructions) I will now turn the call over to Mr. Phil Hawk. Mr. Hawk, you may begin.
Philip J. Hawk: Thank you, Hilda and good morning and welcome to the Team Inc. web conference call to discuss recent company performance. As indicated, my name is Phil Hawk, I am the Chairman and Chief Executive Officer of Team. Joining me again today is Mr. Ted Owen, the company’s Senior Vice President and Chief Financial Officer. The purpose of today’s conference call is to discuss our recently released financial results for the company’s first fiscal quarter ending August 31, 2009. As with past calls, our primary objective is to provide our shareholders and potential shareholders with an enhanced understanding of our company’s performance and prospects. This discussion is intended to supplement our quarterly earnings releases, our 8-K, 10-Q, and 10-K filings to the SEC and our annual report. Ted will begin with a review of the financial results. I will then follow Ted with a few remarks and observations about our performance and prospects. With that, Ted, let me turn it over to you.
Ted W. Owen: Thank you, Phil. First I want to remind everyone as usual that any forward-looking information we discuss today is being provided in accordance with the provisions on the Private Securities Litigation Reform Act of 1995. We have made reasonable efforts to ensure that the information assumptions and beliefs upon which this forward-looking information is based are current, reasonable, and complete. However, a variety of factors could cause actual results to differ materially from those anticipated in any forward-looking information. A description of those factors is set forth in the last paragraph of our press release and in the company’s SEC filings. Accordingly, there can be no assurance that the forward-looking information discussed today will occur or that our objectives will be achieved. We assume no obligation to publicly update or revise any forward-looking statements made today or any other forward-looking statements made by the company, whether as a result of new information, future events, or otherwise. Now for the financial results for the quarter, revenues in the quarter were $100.9 million compared to $123.3 million in the first quarter last year, a decline in revenues of 18%. Net income was $1.1 million in the current quarter versus $5 million in last year’s first quarter. Earnings per diluted share was $0.06 versus $0.25 in last year’s quarter. Results for the quarter were negatively impacted by $1.1 million of non-routine costs associated with an independent investigation of SCPA violations in our TMS Trinidad branch. This matter was previously disclosed in our 10-K and 8-K filing at the end of the year. Excluding those costs, net income would have been $0.09 per share or $1.8 million. Now with respect to our balance sheet and cash flows, capital expenditures for the quarter was $1.9 million, down significantly from $4.3 million in last year’s first quarter. Depreciation and amortization for the quarter was $3 million. Non-cash compensation costs was $1.2 million, so our adjusted EBITDA, which includes an add-back for non-cash comp, was $6.8 million in the quarter. On a trailing 12-month basis, adjusted EBITDA is $50.6 million. We continue to be very pleased with our cash flows during this economic downturn. Our cash flow from operations in the quarter was $18 million and at the end of the quarter, our net debt -- that is total debt less cash -- was $53.1 million, a reduction of $15.8 million since our May 31st year-end. In fact, in the nine months since the recession began for us, at the end of our second quarter of last fiscal year, we have reduced our total net debt by more than $40 million, or 44%. With that, Phil, I’ll turn it back to you.
Philip J. Hawk: Thanks, Ted. Now I would like to add several observations and comments to Ted’s remarks. Let’s begin with first quarter performance. As Ted indicated, Team continues to work through a difficult market environment which has led to significantly lower earnings in the quarter versus the prior year period. The primary driver of this lower performance is significantly reduced demand for our services and the resulting lower revenues. For the quarter, total revenues were down about 18% compared to the very strong results in the prior year quarter. This percentage revenue decline versus the comparable quarter is similar to what we experienced in the preceding fourth quarter of fiscal year 2009 which ended in May. While the market is still significantly below pre-recession levels, it seems to have stabilized at this level. We do not see any evidence that market demand is continuing to deteriorate. The sources of Team's revenue decline were broad-based. On a division basis, TMS division reflecting our mechanical services offerings, declined 25% while the TCM division revenues reflecting inspection and heat-treating services, declined 12% in the quarter. A very significant component of the demand decline in the TMS division was the completion of a major Canadian oil sands construction project that was active in last year’s first quarter but was not present or replaced with a similar project in the current year quarter. Nearly all service lines experienced lower revenues in the quarter. Generally the services perform while the plants are operating, including leak repair, fugitive emission monitoring, hot tapping, and some inspection services, faired a little better than services related to plant turnarounds and new construction, including heat treating, field machining, bolting, field valve repair, as well as some inspection services. As a rough estimate, I believe the demand for on-stream services is down in the 5% to 15% range while the demand for the turnaround services is down in the 20% to 30% range compared to the prior year quarter. However, I would also point out that there was significant spring turnaround work that continued into last year’s first quarter, therefore this 20% to 30% variance also reflects the unusually strong turnaround service demand in this traditionally softer first quarter that occurred in the prior year. Revenues from our major alliance customers were approximately 10% less than in the prior year quarter. There was a wide range of revenue variances among individual customers within this group, reflecting the timing of specific significant projects. However, we do believe that generally the larger major energy companies have not cut their near-term maintenance programs quite as severely as the independent refiners and other smaller customers in other segments. To be clear, every Team customer has been impacted by the recession and has responded with cost-cutting initiatives. However, the approach taken by each customer varies, perhaps correlated to some extent based on the size of the customer. Team's European business revenues were flat with the prior year despite similarly depressed market conditions in Europe. Our leak repair [C-Canteen] has done an excellent job expanding the breadth of their customer base and service capabilities. As you may recall, Team purchased LRS about 1.5 years ago. We are delighted with their performance and progress. We are confident that we have a very strong platform from which to continue to expand our European business. LRS currently represents about 6% of Team's total business. As we look forward to the second quarter, we see continued difficult market conditions for our customers. Frankly, market fundamentals for our customers have not improved much since the beginning of the recession. However, it certainly isn’t all doom and gloom either. We are expecting the second quarter revenues to be up about 20% versus the first quarter as a result of expected plant turnaround activities during the period. This is similar to the sequential quarterly growth that we have seen in past years. Unfortunately, this year’s projected growth is off a smaller starting base. This near-term outlook raises the questions -- will we see a rebound in the market demand to historical levels and if so, when? My answer is the same as it has been in the last couple of conference calls -- yes, we are still confident the market demand for our maintenance services will return to historical levels. There are no technologies or business approaches that we are aware of that can replace the necessity of maintaining these facilities. Over the longer term, there is simply no alternative to our services for these maintenance requirements. As we have said previously, we do expect significantly reduced new capability or new capacity projects for the foreseeable future. However these new construction projects represent less than 15% of total service demand. Regarding the win question, we continue to think that it will be fairly soon but we can't be sure. At this point in time, the major plant turnaround schedule for the spring is quite extensive. This is a positive indication. It is also consistent with our historical experience where we have observed that deferred turnaround work generally tended to be undertaken within a year of the original postponement. All of my comments at this point have focused on the impact that the current market conditions have had on our business. However, all of us at Team, as well as those of you who have been following our company for some time, certainly understand that our very attractive organic growth over the past decade has not been primarily driven by market growth. Team's growth has been driven by market share growth, as we have capitalized on the inherent advantages of our multi-service North American wide service network, our outstanding service performance, and aggressive business development initiatives to continually expand our capabilities and market presence. While extraordinary shifts in the overall market demand have overshadowed our organic growth initiatives in the near-term, we remain committed to an aggressive business development focus that will continue to expand our business and market share. We have not been historically and we will not be now or in the future satisfied with just maintaining our business in line with the overall market. We expect to remain a high growth company. In the near term, our posture is to be cautiously optimistic. We are closely monitoring the market situation and will be ready to handle expanded business opportunities when available. At the same time, we will manage our business and resources to our current revenue levels. We intend to stay strong strategically, operationally, and financially regardless of the market conditions we face. Now let me return to first quarter results and make some additional comments on our performance below the revenue line. As indicated in the income statement issued in yesterday’s release, gross margin for the business declined about 2.5 points versus the prior year quarter. Approximately 1 percentage point of the decline reflects reduced job margins with the remaining 1.5 percentage point decline reflecting the volume effect related to fixed and direct costs. Turning to job margins, we believe that the 1 point decline reflects increased price and margin pressure on our business as a result of the poor economic conditions facing our customers. Let me make a couple of other comments on price pressure and price sensitivity in our markets. First, we expect customers to maintain a heightened sensitivity to all costs for the foreseeable future. At the same time, the key service provider selection criteria remain pretty much unchanged. Confidence in the quality of service provided, safety, technical competence, and timely service capabilities remain the basis for choosing a service provider. Customers are asking Team and other service providers for ways to help them improve their overall productivity and to lower costs. And we are working with them to do that. Ideally we encourage approaches that are win win, such as volume discounts and more integrated service approaches. In addition, we will also work to fine-tune our contract arrangements to be responsive to specific circumstances when warranted. We have not experienced and do not expect to experience any significant loss of customers. Conversely, if these market pressures lead to accelerated maintenance services consolidation within customer facilities and networks, it will ultimately be beneficial to Team given the structural advantages of our size and service network breadth. Shifting back to first quarter results, I am very pleased with Team's management of its costs in the quarter. During the quarter, despite significant declines in activity, our overall technician labor utilization was at or very near historical levels. Consistent with our cost reduction plans, we also achieved significant reductions in our SG&A expense. Overall, SG&A expense declined 9%. When the investigation expense is excluded, total SG&A expenses declined $3.8 million, or 12%. Corporate expenses contributed to this decline as well. Corporate cash expenses decreased 11% in the quarter. Overall, these cost levels are consistent with our expectations and our financial plans. Now let me shift to the investigation related to the SCPA matter that has been previously disclosed. As we discussed during the last conference call, we discovered potential violations of the Foreign Corrupt Practices Act related to actions by former employees of our TMS Trinidad branch. We self-reported these potential violations to both the Department of Justice and the SEC. The audit committee of Team's Board of Directors is leading an independent investigation into this matter. As was reported in our press release and addressed by Ted, we incurred $1.1 million in outside professional costs related to this investigation in the first quarter. On an after-tax basis, this represented a $0.03 reduction in net earnings per share, a very significant impact in a seasonally weak quarter. To date, the independent investigation has found no evidence that inappropriate actions that took place in the TMS Trinidad branch were in any substantive way more extensive than we have previously disclosed. We continue to believe that the total of the improper payments made to employees of government-owned enterprises was less than $50,000 over a five-year period. To date, the investigation has found no evidence of SCPA or similar violations in any of our other foreign branch locations, nor has any evidence been found that managers outside of the Trinidad TMS branch directed or had knowledge any violations of the SCPA. Assuming no additional violations are discovered, we estimate that our total outside professional costs for the investigation will be approximately $2 million. While the illegal activity was limited in scope to a single small branch of Team's foreign operations, it is nevertheless illegal and counter to our ethical standards and our culture. It reflects negatively on our entire company. While we have had compliance processes in place, we are strengthening and augmenting our compliance programs going forward, especially as it relates to our SCPA obligations, to do our best to ensure that this never happens again. We will learn from the mistakes that were made and take appropriate measures. In the long run, I believe this unfortunate episode should have no significant impact on our business and outlook. We have always been and continue to be fully committed to operating our business with complete integrity and honesty in all respects with all parties including customers, Team colleagues, suppliers, and the various government agencies. As reported in the earnings release, we are affirming our current earnings guidance of $0.85 to $1.05 per fully diluted share, excluding expenses related to the investigation. Our current guidance is based on anticipated stronger second half revenues from improved demand for plant maintenance services. As I discussed earlier today, we are not projecting a complete recovery but rather a 10% strengthening due to both higher volume of turnaround activities and anticipated catch-up in previously deferred maintenance. Overall, we expect total revenues to be in the $470 million range. We also expect to benefit from the cost reduction initiatives that we have undertaken over the past several months. Some of you who follow us closely may be wondering if it would be appropriate to reduce our earnings guidance in light of soft first quarter results. I remind everyone that the first quarter is typically a weak quarter seasonally, representing a small percentage of total annual earnings. When excluding the cost of the investigation, overall first quarter results were in line with our internal plan. As I mentioned earlier, we will not be adding costs or resources ahead of improvements in the market environment. We intend to stay strong strategically, operationally and financially regardless of the market conditions. Let me end with a few final perspectives and wrap-up comments. We are blessed with an outstanding group of colleagues who continue to earn and affirm our customers’ trust and confidence with consistent outstanding service. As always, we intend to maintain a diligent focus on the basis of our business. These include providing great service with every service opportunity, continuing to capitalize on our service network advantages, managing the profitability of our business job by job, and balancing our resources with current activity levels. That concludes our initial remarks. Let’s now open it up for questions. Hilda, could I turn it back to you?
Operator: (Operator Instructions) Our first question comes from Matt Duncan from Stephens Incorporated.
Matt Duncan - Stephens Inc. : So the first question I’ve got, kind of going back to these job margins for just a second, and I’m curious, it looks like your alliance customers, the revenues there are down less than your total sales are down, so they are becoming a bigger piece of the mix. And those guys are typically going to get higher volume discounts. So do you have any way of quantifying of that 1% decline in job margins, could that just be customer mix shift?
Philip J. Hawk: You are correct that mix shift both among customers, among service lines, all those bring a -- things affect margin. I guess our conclusion is that kind of beyond that though that what we have seen is a -- and kind of believe there’s about a 1 percentage point decline that is basically independent of the mix effects.
Matt Duncan - Stephens Inc. : Okay, that’s helpful.
Philip J. Hawk: It’s difficult to measure but we have made concessions in the number of situations and that’s what we think is reflected in those lower margins.
Matt Duncan - Stephens Inc. : Okay. And then when you look, Phil, at the fall turnaround season, how is that looking so far? Have you seen any of the delays and deferrals that happened in the spring? Are any of those projects happening in the fall or are they still all kind of more geared towards next spring?
Philip J. Hawk: I think the general consensus is -- well, first of all, that our turnaround is happening. As we pointed out, we are projecting a 20% kind of sequential quarterly volume improvement, which is directly related to turnaround activity. I think our sense is that the spring will be a stronger turnaround quarter than the fall, although we have activities underway right now.
Matt Duncan - Stephens Inc. : Okay. And then if you look at an increase in demand of 10% in the second half of your fiscal year, earlier -- I guess last year you did kind of reduce your tech force by a couple of hundred people, if I remember correctly. With a 10% increase in demand, do you need to add some of those people back to meet that demand or is your utilization rate low enough now that the people that you have currently can fulfill that demand?
Philip J. Hawk: I think there will be some add-backs with staff but we are confident that we can do it. Let me make a couple just kind of points about kind of how we flex our staff, because that’s a good point that you make. Our actual build, our direct labor utilization as I mentioned in my comments, have remained fairly constant at attractive levels even with the lower activity levels. That is possible by again a reduction of staff. We are about 330 kind of full-time people down from where we were a year ago in terms of total staff and it’s also flexing by less overtime that we -- that our technicians have less kind of work hours as a result of kind of the less demand available to us. So on the way back up, the first and easiest kind of capacity expansion for us is overtime hours, where we just expand the hours and work opportunities for our current force. We will supplement that with additions to our force and also with the project related or contract personnel that we use, particularly for big turnaround work, you know, that supplement has historically and continues to supplement our full-time staff.
Matt Duncan - Stephens Inc. : Okay, and last thing here and I’ll jump back in queue -- when you look at the competitive landscape, you know, we’ve had nine to 12 months now of the demand being down for your services, are you seeing any of your small mom and pop competitors fall by the wayside or for the most part are they holding on at this point?
Philip J. Hawk: To my knowledge, I am not aware of anyone who has closed their doors and it’s really hard to know from our perspective whether they are struggling. I would suspect the lower volume environment is difficult for everybody.
Matt Duncan - Stephens Inc. : Do you think you are taking share in this downturn, Phil, using those master alliance agreements and being able to give your customers some price breaks through those? Do you think you are gaining share right now?
Philip J. Hawk: Theoretically we should have advantages and they should be accelerated in this environment. I will be honest -- it’s so extraordinary just the change in customer behavior as they respond to their incredibly difficult market conditions. It’s very hard to tell, you know, in this short period of time whether we are gaining share or not. Our focus is obviously we are getting some opportunities to visit with customers as they kind of explore all their options but I certainly don’t have a conclusion that we are kind of sweeping up lots and lots of share here in the short-run.
Matt Duncan - Stephens Inc. : All right, thanks. I’ll hop back in queue.
Operator: Your next question comes from Arnold Ursaner from CJS Securities.
Arnold Ursaner - CJS Securities: My first question relates to the quarter that you just reported -- can you give us the breakdown of project revenue in this quarter versus the year-ago? I know obviously you had a very important Canadian contract but can you quantify the delta, if you will, in project work this quarter versus last year?
Philip J. Hawk: Arnie, I haven’t -- it’s always difficult to get the split. Obviously we can identify individual big customers and I really haven’t done that, so I don’t have a [swag] estimate but that was a very significant project.
Ted W. Owen: The Canadian project a year ago last year was about $10 million.
Arnold Ursaner - CJS Securities: Okay.
Philip J. Hawk: That one project. I think it’s certainly less project work but I don’t -- but it’s also not none either, by the way. There are continuing build-outs of kind of major projects that have been underway, both pipeline projects and a couple of major refinery upgrades that continue to go forward.
Arnold Ursaner - CJS Securities: Okay, and your revenue decline in the quarter, can you break it down between a volume decline and price decline?
Philip J. Hawk: Well I think if, given my other comments, I think virtually all of it is volume. The price decline would be that 1%.
Arnold Ursaner - CJS Securities: Okay. And my -- on the cost of the investigation, I certainly know versus my expectation and frankly I think versus your own expectation, the $2 million expense is dramatically higher than we had expected and I guess again is probably more than you thought. What has caused it to become, to escalate? And can you give us a feel for the remaining $1 million that you do expect, when we should expect that to hit?
Philip J. Hawk: The second question is easier than the first -- we expect the bulk of the rest of the remaining expenditures to hit in the second quarter. We had -- while a small matter, there’s no kind of materiality threshold with regard to SCPA violations and we had a violation of the law and our audit committee of the board of directors is undertaking a very thorough in-depth investigation. You know, they have hired and retained outside counsel and forensic accountants to assist in that effort and they are doing a very thorough job and I would just say I guess that this process is bigger and you are correct that it was bigger and more extensive than I envisioned but as I understand kind of their obligations and approach that it’s kind of what the circumstances -- it’s not the size of our issue but it’s just what these types of issues require and as I said in my comments, I think what we are going to do is learn from this and get as much perspective on how we can make sure that it never happens again. But like I said, there’s a -- we fully support their efforts and they haven’t -- their investigation has not uncovered any kind of expansion of wrongdoing or inappropriate activity but it’s important that we independently verify that and that is what is happening.
Arnold Ursaner - CJS Securities: In the turnaround work you are expecting for the upcoming season, are you being asked by your clients to again, similar pattern to what you have had not work as intensely and not bill them as much overtime? Are you seeing that?
Philip J. Hawk: It’s a combination. I think there are examples of that. It just again depends a little bit on customer requirements and practices but yes, we do have -- I am aware of a couple I think straight time turnarounds which again prior to last year would have been extremely unusual.
Arnold Ursaner - CJS Securities: And I thought Matt was going in a different direction when he asked about competition -- you have a company that is about to complete a roadshow and price a public offering that competes directly with you in NDT and one of the highlights of their roadshow is they probably use the word proprietary 50 times in their presentation. Would you care to comment on any competitor that you think you are at any disadvantage, where they may have some proprietary technologies? And the other question related to their offering is to the extent they raise a fair amount of cash, would you expect them to impact industry consolidation?
Philip J. Hawk: Let me just talk about team, or kind of team relative to competitors. I guess I don’t sense that we have any, in our basic service capabilities, you know, we think we have the access to all the technologies that are relevant and appropriate that our customers are demanding. We in fact pride ourselves on the breadth of the technologies we have available to us and our ability to deliver them in a consistent high quality way. I think there are companies that compete in segments and in areas that we don’t compete in and so if they have capabilities in those areas or advantages in those areas, that’s very possibly the case. In terms of kind of consolidation in the industries, I think there have been little companies -- this is not a new phenomena but there have been little companies being purchased by others kind of over the years and it continues to happen today so I don’t think the fact that we have another public company facilitates that one way or another, but that’s -- like I said, I’m speaking from my perspective, not necessarily what their view might be.
Arnold Ursaner - CJS Securities: But in NDT, your view is you are fully competitive in terms of monitoring technology and some of the other issues that seem to be raised by this offering of this company?
Philip J. Hawk: When you look at the -- and it’s not just an NDT but you look at really all of our service capabilities, we are providing services in line with kind of the industry standards and requirements, and that is certainly the case in inspection that we are providing services with regard to code and kind of industry certification levels. So we are all providing the same services in those respects. To the extent that we try to differentiate ourselves, it’s the consistency of our quality, the consistency of the training that we provide our technician force and kind of the, if you will, just the certainty or the confidence they can get from that consistency of performance. I just think it’s not -- it would be very small portions where I am going to say just a competence to do something that no one else can do is relevant really in any of our service lines. It would be -- I’m not saying there’s none but it is very, very small.
Arnold Ursaner - CJS Securities: Thank you very much.
Operator: Your next question comes from Richard Wesolowski from Sidoti & Company.
Richard Wesolowski - Sidoti & Company: By this time in any year, would you have typically sewn up a good portion of your turnaround business for the next spring or would the majority of orders still be ahead of you?
Philip J. Hawk: I think the majority of activity is ahead of us and just as a little bit of comment about how kind of all this works is that even when we are aware of -- where we are aware of a turnaround in a facility that we historically do the work in, we will not know the magnitude of the turnaround until much closer to the time and frankly even when we man to start the turnaround, the variability once we start can vary a lot because of discoverables. So our work is not where it’s kind of a fixed quantity that is built and baked in. What we have are kind of general indications of where the events or the activities are going to take place with kind of rough estimates of personnel required based on kind of historical repairs of similar type turnarounds at those facilities.
Richard Wesolowski - Sidoti & Company: Okay. Thanks for the numbers on what drove the gross margin down. I think that distinction between the operating leverage and the pricing is very important. On pricing, how far along with your discussions with your various bigger clients, you know, does that 1% hit to the job margin have the potential to turn into 2% or 3% within the next year?
Philip J. Hawk: Sure. The answer is it could but I will tell you we are working the other way too, is that we are always continuing to kind of improve our -- kind of our delivery mechanisms, kind of the labor mix and also frankly for concessions that we’ve made with customers, they are not kind of permanent concessions. In many instances, we are making concessions for six months, kind of where we look at some of this activity so our kind of management focus and plan is to kind of hold the line and maintain our margins but as I said, we’re in a difficult environment and we are kind of having to deal with these cost price pressures in the current environment.
Richard Wesolowski - Sidoti & Company: So if Team -- call it, whatever it is, 18 months from now is working in a better economy, you will have a chance to relook at some of these discussions and there is no reason to suspect that your job margins could not be what they once were when the economy was stronger?
Philip J. Hawk: Absolutely I believe that -- and here’s another just perspective; these are sophisticated customers that we serve. I mean, many of them are and they have been for many, many years so the notion that we had kind of unfair or unsustainable margins at one point in tie and now that’s all -- they caught us or caught up with that is just to me doesn’t make sense. What we have in the short run is a -- all competitors have similar kind of starting points. We don’t have a foreign import kind of advantage that -- like you might have in a manufactured good, so I expect our costs should be comparable with competition and our margins should be fair and I think they were and have been historically and what we are just dealing with is an extraordinary environment where what we want to do is be responsive to customers so we sustain our relationships during their very, very difficult time but we expect that to kind of normalize out to where we have always been.
Richard Wesolowski - Sidoti & Company: Okay, and then finally we talk a lot about refining but can you talk about any other end markets, whether any of them are performing any better or much worse than others or maybe if you had to bet which would turn first?
Philip J. Hawk: I am not aware of many that are strong right now, to be very honest about it. The evidence that we get, obviously crack spreads right now for refineries are at -- the database I saw they were as low as anything in the last seven years and probably for this time period and perhaps ever in the last seven years, so we are continuing to see very weak refining margins. What I am hearing about the [cams] is it is kind of a mixed bag, as those that -- most [cams] are continuing to be very weak, again because of the weak demand for their products. Those that are the [olefin] category, I heard the other day kind of related to natural gas as a feedstock in the U.S. are tending to do a little bit better because of the advantage, the big gas -- crude oil to natural gas spreads. But power, demand for power is weaker, so while they would typically be a little stronger market, I think that is kind of impacting some of those companies. Steel, heavy industrials continue to be weak. There’s some -- you know, again, the auto manufacturing is up a little, or expected to be up a little bit in the fall and that’s helping a plant here or there but as I said, just as you look at the fundamentals, not as -- none of it has translated into what we are hearing as kind of increased orders for us that if I just look at the fundamentals of any of our customer groups right this minute, I don’t see much improvement over the bottom, frankly.
Richard Wesolowski - Sidoti & Company: Great. Thank you.
Operator: Your next question comes from [Max Ferret] from Tudor, Pickering, Holt.
Max Ferret - Tudor, Pickering, Holt & Company: Phil, I just wanted to get a little bit more comfortable about the guidance for the back-half of the year, the 10% demand recovery. So you’ve got some deferred work coming back into the picture but are you also assuming that the scope of that work will be increasing as well?
Philip J. Hawk: Well, we are assuming that our activity levels will pop up about 10% in the second half versus the first half. And that implies a bigger turnaround schedule and some -- I think it’s the -- as I mentioned in my comments, I think there are really two drivers of that, is just bigger turnaround schedule and some catch-up on deferred maintenance. Again, we think we are -- that level of activity would not even be back to what we believe steady state is. You know, long-term steady state but it is certainly an improvement in that direction. The challenge is that I have the rationale on why that should happen, as I mentioned to it, to you but as I mentioned maybe to one of the other callers is we don’t have firm orders so it’s not like we have it in the bag and it’s already booked. We have to really kind of wait for that time to come and again we’ll be ready to react to an expanded environment, you know, demand environment, when we get it.
Max Ferret - Tudor, Pickering, Holt & Company: I just wanted to talk a little bit about overall gross margins going into Q2 and for the back-half of the year. Is it still safe to say that the Q2 gross margins look like Q4 of ’09?
Philip J. Hawk: Look like Q2 ’09?
Max Ferret - Tudor, Pickering, Holt & Company: Q4 of ’09.
Philip J. Hawk: Q409 -- I think that’s a reasonable expectation because the volumes will be similar.
Max Ferret - Tudor, Pickering, Holt & Company: Okay, and Q3, Q4, I think margins still hold above 30?
Philip J. Hawk: You know, I haven’t really studied individual margin kind of forecasts. We don’t provide guidance on that level but I think because of the -- that’s a reasonable -- just generally that’s a reasonable expectation because we are going to get the volume leverage on that.
Operator: Does that answer your question?
Philip J. Hawk: I don’t know if we lost him or not there, Hilda.
Operator: Let me move to the next party in line. We have Max Tucker from Keybanc Capital.
Max Tucker - Keybanc Capital: You guys mentioned that fundamentals for customers really have not improved. Does your 10% demand improvement expectation for the fiscal second half assume that conditions remain the same as they are currently or if you see some improvement in your customers’ fundamentals, could that provide some upside to that estimate?
Philip J. Hawk: It does not assume a recovery of the market fundamentals. Again, our point of view is that we are in kind of a general sense, a necessary evil, that where maintenance is required if you are operating these facilities and plants and we are not really projecting new plants coming back on-stream or any of that in our estimates for the second half of the year. We would love for the market environment to improve for our customers, even if it doesn’t lead to more direct maintenance services. Obviously healthier customers is good in a lot of ways.
Max Tucker - Keybanc Capital: I guess how would you expect then the second half to compare to historical levels, say the second half of 2008? Do you expect it to return to those kind of pre-recession levels or is it going to be kind of a more moderate recovery?
Philip J. Hawk: I think it’s -- I think we’re about halfway back is what I think it is. We are projecting about 10% improvement over where we were and I think we are kind of riding it about 20% below our -- currently running about 20% below kind of our historical or where we are pre-recession. So it’s kind of halfway back, I would say.
Max Tucker - Keybanc Capital: Okay, thanks. And then if customer conditions don’t really improve here for a little while, I mean, have you seen -- I know there have been some plant closures announced already. Do you expect that to accelerate and have you -- is that something you are worried about? Have you heard anything from your customers about potential closures?
Philip J. Hawk: There have been individual plants here and there closed and obviously if the conditions stay bad or get worse, I think we can anticipate a few more of that. I guess our basic premise is again, we have a very, very large industrial manufacturing refining complex that we are serving and our basic premise is that again, not for new construction or capacity but for the existing infrastructure that by and large that North American industrial infrastructure is going to stay in place and stay operating. The consequences of a different alternative for our economy, for the North America are quite, quite significant and just think that’s an unlikely scenario for large scale kind of reductions of that infrastructure. Obviously if that would happen, that would reduce fundamental demand for our services. But our belief is that what we have, by and large, and there will be some -- on the margin, some closures here or there, but by and large that the facilities that exist today and are operating today are going to continue to operate and are going to continue to need maintenance and that’s our premise for the -- and basis for kind of our firm belief that kind of demand levels for our services over the longer term are going to stay fairly stable.
Max Tucker - Keybanc Capital: Thanks, gentlemen.
Operator: Your next question comes from David [Yushak] from SMH Capital.
David Yushak - SMH Capital : What was your quarter ending cash balances and cash equivalents? Do you have that at hand at all?
Philip J. Hawk: Ted is looking at it. I think $13 million, wasn’t it?
Ted W. Owen: Yeah, it was about $13 million.
David Yushak - SMH Capital : Okay, and then as far as your ideas about, you know, you’ve been paying down debt pretty aggressively here in recent -- what’s your thoughts as you look to the balance of the year? Is that still going to be a focus of yours, given current business conditions, that the debt reduction [inaudible] free cash is going to be the number one use of it?
Philip J. Hawk: I think it’s the result of, not the objective of, our operations.
David Yushak - SMH Capital : Yeah, that’s right.
Philip J. Hawk: First of all, as I said, we’re going to operate our business to stay profitable regardless of market conditions and we are going to support our business as needed to stay as strong as we can and take advantage of the opportunities we have. Because of the kind of lower demand environment, a lot of the cash flow that we are generating is a result of lower receivables than we’ve had in the past, so that’s a big chunk of that. Also, because we’re not dramatically expanding our capacity in this environment, we have significantly lower capital spending because there is just not a need for that in this environment. So I think in a kind of reduced or this kind of depressed or reduced demand environment, I think it is very likely that we will continue to generate a lot of cash and we will use that to -- a lot of the -- it’s a revolver so the cash will just kind of reduce our outstanding debt, increase our available borrowing capacity kind of simultaneously. Should we use that -- would we use that debt to buy back equity? Probably not. I think our view has been that kind of not financial leverage but operating leverage has been the focus of our business and I think that’s kind of our continuing focus, so there’s really no contemplation of that. Could we use the -- our capacity, our debt capacity to acquire other companies or pursue other opportunities? I guess the answer to that is that we are always responsive and looking at opportunities to do that, so that’s kind of independent on how much cash flow we generate to pay down debt but we remain opportunistic and alert to opportunities that can expand our capabilities, you know, again consistent with our long-term strategy that can accelerate our growth and development of our presence in our target segments.
David Yushak - SMH Capital : As far as your CapEx spending this year, what are you currently planning and what things could change one way or the other that could -- or is it pretty much set in stone for what you think you are going to spend for the rest of the year?
Philip J. Hawk: The CapEx spending plan is roughly $10 million to $15 million is what the -- is kind of our rough range. We are going to have a little bit of, as we have historically, we are going to have a little CapEx related to some replacement of equipment in a couple of areas. As we expand -- you know, it’s not that nothing is growing. As we expand in areas here or there, we need additional pieces of equipment and we’ll provide for that. But what we don’t have in this environment is kind of the need for -- I’m going to say capacity expansion that we had in our high organic growth periods. Because we’ve kind of pulled back a little bit in demand, obviously we can expand demand -- expand our activity levels with existing inventory of equipment to some degree.
David Yushak - SMH Capital : So that range of 10 to 15 pretty much covers about anything between lower demand versus better demand, as far as you are concerned? That’s -- it doesn’t matter where you fall on the demand curve for the rest of the year.
Philip J. Hawk: I think we were -- I don’t want to say when we had several -- when we were growing kind of every year 20%, 25%, I think we were probably anticipating demand and investing ahead of demand in both equipment and probably resources too that we are going to be a little more cautious on that in this environment right now.
David Yushak - SMH Capital : And then one last question -- as far as the [year and your] IR presentations, I think you listed refiner being around 48% or thereabouts of revenue. As you look back over the last two to three years, what has been -- what percentage -- refining as a percent of your total revenue, what has been its highest and what has it been tracking here in the last couple of quarters?
Philip J. Hawk: I don’t have a really good measure of that.
Ted W. Owen: It’s been pretty consistent though, David.
David Yushak - SMH Capital : Okay.
Ted W. Owen: -- that period of time.
David Yushak - SMH Capital : So when things were going good, we’ve kind of gone good all across all your industry verticals -- power and all the rest. And so refining never really got totally outsized relative to the total to the point where it could track --
Philip J. Hawk: I think there was --
David Yushak - SMH Capital : -- so when recovery comes, we can get a better out-size recovery in refining as a percent. That’s kind of what I’m driving at, if you follow me.
Philip J. Hawk: No, I think there’s good opportunities of demand growth in all those segments. I think they are all -- I think a significant portion of the project work, probably a little higher percentage of the project work in the last three to five years have been refining related than in the other areas.
David Yushak - SMH Capital : So if you exclude any -- potential new business, the basic core business will probably stay in line. It’s just the matter of the new business isn’t there right now.
Philip J. Hawk: Yeah, I think we are trying to kind of develop our -- and we are kind of being very aggressive in all market segments and continue to try to expand our presence not just in refining but in all of our segments, so we are looking for more growth across the board.
David Yushak - SMH Capital : And as far as acquisitions are concerned, would you be looking more for some specialties in some of those other industry verticals or more just like you’ve done in the past? I guess it would be if you’ve got some very specific industry needs.
Philip J. Hawk: The criteria we would use, and we talked before, we think that just acquiring companies for the sake of acquiring them is not a particularly high leverage activity. We want to acquire companies that can be the basis for accelerated growth and that’s all of our acquisitions have kind of felt, have fit that mold. If you look at the two most recent ones, the inspection services in Canada filled a gap and allowed us to cross-sell across our network. Obviously our initial investment in Europe kind of provides a platform for exciting growth over there. And so those are the things that we’d be looking for. So just buying for the sake of buying, you know, where we can't see kind of attractive growth from that historically hasn’t been something that looked very good to us.
David Yushak - SMH Capital : That’s all I’ve got. Thanks, guys.
Operator: Your next question comes from Matt Duncan from Stephens Inc.
Matt Duncan - Stephens Inc.: Phil, I really just want to get a little bit more about the timing of when you will see the up-tick for the spring and my understanding is that these turnaround projects typically you would get signed on for a spring project late this year, early next year but that you are not going to know for sure how much work you’ve got until you are on site. Do you think that sort of normal timing will hold this go-round?
Philip J. Hawk: Yes, I do. I mean, I would love to say by November we’re going to have kind of a big old order book but you know how it works. It is going to be after the first of the year and we are going to see it in probably January, even more likely February when things are ramping up and we are close in and we are seeing kind of requirements from both our owners and the general contractors on these projects.
Matt Duncan - Stephens Inc.: Okay, but the main thing I guess right now is that you are still seeing a big book of projects on the schedule for next spring, haven’t seen any change to that and as of right now, I think you guys -- and I would just tell you from the other people we talk to, I think everybody still is of the belief that next spring is going to hold together because quite frankly it almost has to because of all the delays from last spring. Is that still probably the right way to think about this?
Philip J. Hawk: That is our point of view. Like you said, the challenge is it would be a lot nicer to have firm orders or be in a world where we can say it is absolutely so because we have these POs to prove it but that is not the way our business works. But it is certainly our belief is consistent with what you have just described there.
Matt Duncan - Stephens Inc.: Okay, and then the last thing here, you gave us some parameters around sort of which of your service lines or kind of where demand is anyway for the varying service lines. Which line has been the least impacted by this and which have been the most? I assume the most would be machining and bolting, things that tend to be a little bit more project geared?
Philip J. Hawk: The on-stream services are the ones that are least affected and those are fugitive emissions monitoring, fuel valve repair, hot tapping services, and some classes of inspection services, particularly where we have kind of permanent resident inspectors on site.
Matt Duncan - Stephens Inc.: Sure, and then also I guess leak repair.
Philip J. Hawk: Correct, yes.
Matt Duncan - Stephens Inc.: Okay, and then how much are those down versus the declines in bolting and field machine?
Philip J. Hawk: What I mentioned in the comments that the range for the on-stream service is kind of the roughly 5% to 15%.
Matt Duncan - Stephens Inc.: Okay, so that is the range for what you are actually seeing then?
Philip J. Hawk: Yes, that is based on our own experience, yes.
Matt Duncan - Stephens Inc.: Okay, gotcha. Thanks.
Operator: Your next question comes from Holden Lewis from BB&T.
Holden Lewis - BB&T Capital Markets: Stepping back to the SG&A a little bit, I guess I was surprised that the SG&A wasn’t down a little bit more, primarily because -- I mean, if you look historically, obviously revenues were down so SG&A is naturally going to be down some, just along with the revenue decline sequentially from Q4. and I guess historically it’s not been unusual for every dollar that revenue comes off sequentially you see $0.15 or $0.20 of decline in SG&A and that I think is kind of historically normal. And this quarter you were really more at 12%, which is a little bit less than historically normal, even though you’ve really been working to sort of reduce headcount. And I guess I just would have expected a little bit more than historically normal in terms of sequential down-tick in SG&A given the aggressive headcount management that you’ve been doing, and I really didn’t see it sort of played through. Do you have any sort of perspective on that?
Philip J. Hawk: Well, let me give you -- you have some kind of assertions about historical normalness that I need to go back and look at. I guess your first premise was that lower revenue would lead to lower -- automatically lead to lower SG&A and I don’t have a perspective that that’s the case because there’s nothing in SG&A that is really -- SG&A expenses that is immediately related, directly related to revenues. So the reductions are principally resource or headcount reductions and kind of spending cuts -- entertainment, travel, reduced outside services and the like, that as I said, we’ve made a very significant focus on and kind of had projected that for the year, we would expect total SG&A to be $10 million less than ’09 and I think we are kind of basically on those -- kind of on that track. So I guess from my view, I need to go back and look at what -- maybe study our results or see what you are seeing on this normal decline but that hadn’t been the case where we are normally seeing [inaudible] -- there is some just variability on accruals from here kind of that -- just a normal chop in the -- in kind of bookings or those kinds of things but in terms of driven by revenue, that would not be my starting perspective.
Holden Lewis - BB&T Capital Markets: Okay.
Philip J. Hawk: Just to make sure that you are pulling out the costs associated with the investigation are embedded in SG&A and --
Holden Lewis - BB&T Capital Markets: Yes, I have.
Philip J. Hawk: All right.
Holden Lewis - BB&T Capital Markets: Maybe we can explore that further offline. On the gross margin side, the 150 basis points that is under absorption, just give us a review -- I mean, being a services business to a large extent, what exactly are the big pieces that are being absorbed there -- or being under-absorbed there?
Philip J. Hawk: It would be depreciation for the equipment. It would be all the vehicle expenses that are in indirect expenses and all the burden related to those -- burden for our employees although that should be -- that will be -- that would be variable to the number of employees we have but when we reduce hours for employees proportionally that would stay relatively fixed, the burden related to medical benefits and other kind of personnel benefits. And I am going to say it would also be branch supervisory labor -- you know, operations supervisors which again, the fact that we are reducing the number of techs generally is not -- the first step is not to kind of take apart our supervisory infrastructure so that’s kind of relatively fixed.
Holden Lewis - BB&T Capital Markets: Okay, great. Thank you. And then sort of on your guidance, again that 10% increase in the second half, and this is just kind of crunching numbers historically, it’s not been unusual just from a seasonal standpoint for your second half revenues to exceed your first half revenues and sort of averaging out probably sort of the 10% to 12% timeframe. That looks like it’s kind of seasonally normal, which would suggest that you don’t really need much of an up-tick or any sort of heroic things on the demand side to achieve that. Is that right or am I looking at that wrong?
Philip J. Hawk: Here’s where it’s a little tricky with historical data. Again, we had a decade of I think 15% to 20% organic growth every -- you know, every consistently, virtually every year in that range. So because of that growth, when you look at the second half of the year, you are reflecting kind of organic growth throughout that time period so there is a little bit -- there is going to be a little bit of higher kind of growth second half to first half. And by the way, you’d see it going forward again to the next first half, I think. I think if the numbers I have recollection of, and we can follow-up more offline, is that I believe the second half typically has been maybe 52% -- it’s been a couple of points higher, 52% of the year if I look at kind of average and try to normalize a little bit. So it’s not -- it wouldn’t be my view that it’s 10% or even close to that but it could be a couple of points. But not a lot more.
Ted W. Owen: But our view of that is generally -- we are not sure there is any kind of statistical significance to that 48-52 difference, quite frankly.
Holden Lewis - BB&T Capital Markets: Okay. And then just how much of the alliance customers of your total revenues now?
Philip J. Hawk: About a third. I don’t have it precisely but yeah, that’s a good estimate.
Holden Lewis - BB&T Capital Markets: Okay, and then just the last thing, sort of a big picture Team thing -- if cap and trade were to go through, there’s a lot of discussion about refineries being under a lot of pressure from that sort of thing, making it tougher to operate here, maybe finding alternative strategies. Do you have -- how would you envision any sort of cap and trade sort of bill going through as it currently stands affecting either your customer base or your ability to bring additional services? I mean, what would be the net effect of what is out there on your business should it go through?
Philip J. Hawk: I think the short answer is we don’t know. Obviously anything that changes the relative competitiveness of a facility or broadly the whole infrastructure could have significant impacts on -- the big issue for us is does that mean that forced more plants to close or not? I don’t have any understanding of how cap and trade would change how plants operate. I think it kind of just penalizes the certain classes of plants more than others based on their -- or whatever the allowances that are provided to them, et cetera.
Holden Lewis - BB&T Capital Markets: I didn’t know if you had any services sort of in-hand or maybe that you would be eyeballing as potential acquisition that might take advantage of the need to sort of limit or capture or what have you, you know, issues related to that bill.
Philip J. Hawk: You mean carbon [sequestration] or ways we can take carbon out of the affluence? No, we don’t have any -- we really don’t have anything of that order of magnitude. I would say again, we have a very broad customer base and kind of the green energy, if you look at wind power and solar and all those -- solar a little less so than wind but we have a lot of applications of our services kind of for wind power -- not going to make a big deal of it because it’s just not going to be a big segment but we are definitely going after it.
Holden Lewis - BB&T Capital Markets: I think if you do anything at all, you should put it on the front of your annual report. Everyone else does.
Philip J. Hawk: No matter how small it might be, right?
Holden Lewis - BB&T Capital Markets: And then the thing you didn’t address with cash flow, dividends, any interest in sort of going forward with one of those as your balance sheet cleans up and your cash flow generation continues to pump out?
Philip J. Hawk: I think we haven’t discussed it or it’s not a near-term item on our agenda. I think your general view though is once we -- you know, if we have no internal use for cash that’s productive, that’s a very good thing to do.
Holden Lewis - BB&T Capital Markets: Okay. Thanks, guys.
Operator: Your next question comes from Andrew Cash from Point Clear Value.
Andrew Cash - Point Clear Value: You mentioned that you had organic growth over the last years of somewhere in the order of 10% to 20% and I’m just wondering, now that the world has sort of reset at a lower level, do you have any idea of what you think you might experience in terms of organic growth over the next three to five years?
Philip J. Hawk: Honestly, Andrew, we think that our historical organic growth rate, kind of a 10% plus, is really a very realistic expectation for the long-term.
Andrew Cash - Point Clear Value: Okay, so that’s a combination of market share gains, new product offerings?
Philip J. Hawk: It’s market share gains and here’s why, is that -- again, against the -- kind of a premise that demand is flat, we have a highly fragmented industry. We are one of the big guys and yet with all our growth historically we are still just in North America, we estimate that we are less than 20% share and there is more than 100 competitors that we can identify. What’s driving the market share growth is kind of good outstanding performance. We’ve got to start with that service performance but what’s really driving it is customer preference to deal with fewer, larger more professional service providers. Our customers or the industry of customers is just consolidating their procurement with the larger multi-service, multi-location guys and we are taking advantage of that. And so we have gone from, in the last 10 years from $50 million to $500 million, yet we are still less than 20 share. So when we start saying well, what can we grow in the future -- you know, a 10 share, a 10% organic growth rate is basically adding less than two points of share a year. So when I look out really even the next decade, I don’t see much constraint from kind of over-penetration of the market available to us. Now having said that, and again we’ve had the -- we have the track record to prove we can do it but we still have to execute. I mean, it’s -- nothing is in the bag. You go earn it, you know? But we are quite bullish about our longer term prospects.
Andrew Cash - Point Clear Value: It’s a very compelling story and obviously your track record is very admirable. Now, as far as your CapEx is concerned, you mentioned somewhere along the lines of $10 million to $15 million. Is that the sort of level you would expect to spend even if the world [sort of] remains flat and you are picking up share, you are introducing new services -- do you think 10 to 15 is the right area?
Philip J. Hawk: Honestly, it’s kind of an estimate of what it will be. What we -- just the way we handle that is we kind of look at each individual investment opportunity and say is that worth doing, and frankly in today’s environment, virtually all of them are directly related to a specific customer opportunity that has pay-back right away.
Andrew Cash - Point Clear Value: Just final comment here is that just looking historically, and I haven’t really crunched a lot of serious numbers here, just taking a cursory look at your company, if [inaudible] has grown at the rate you’ve grown and given that service business, your free cash flow generation, I’m just surprised it’s not a little bit higher than it was, and maybe that’s tied up to the accounts receivable, your working capital. But if you sort of gotten over the hump in that your free cash flow generation relative to sales would actually start ramping up.
Philip J. Hawk: Well, I think as Ted mentioned, we’ve paid down half our debt in the last nine months, you know, so we certainly had a very significant kind of portion of that, if you will, that cash flow. When you are growing -- I think our total growth rate has averaged just a little under 30% for a decade. There is a lot of working capital tied up with that, that growth so historically that has been a big consumer of it and we are also organically growing, not acquiring companies, so there will be CapEx to expand that capacity. We personally think that’s a much higher leverage way to buy, to grow than acquisitions.
Andrew Cash - Point Clear Value: Thank you very much.
Operator: Your next question comes from Arnold Ursaner from CJS Securities.
Arnold Ursaner - CJS Securities: Did you actually give us your tech headcount? I don’t think you did. I think you gave us your total staff.
Philip J. Hawk: That’s correct. I don’t know that I -- I don’t know if you have a tech number. I’m not sure I have it handy. We can get it to you.
Arnold Ursaner - CJS Securities: But more importantly, Phil, what’s your strategy? You had been adding fairly consistently in the up cycle. I know you’ve brought it back down. How should we think about your tech headcount for the rest of this year?
Philip J. Hawk: Our field headcount right now at the end of the first quarter was just under 3,000, or virtually at 3,000. Honestly, it’s not a number that I even kind of estimate or think about. What I look at is utilization of labor is making sure that we are not kind of deteriorating in our productivity of the labor that we do have and we are paying, and I think we proved and believe particularly in this environment our ability to expand our labor and resources, and we’ve proven we can do that in a tough environment. This is an easier environment to do that, that we can bring on labor, whatever we need to meet our demand. So I am more focused on productivity of the labor that we have on staff than I am worried about us not having enough.
Arnold Ursaner - CJS Securities: So is it fair to assume we should not expect a lot of the inefficiencies of cost of training lots of new people as we go through the --
Philip J. Hawk: No, I don’t think so. What we have at our staff are going to be the most experienced -- obviously when you are downsizing, you are high-grading. We have our most experienced group we have and what we will see is we will be -- the way we will grow is how we have grown in the past. We will split crews and we will be able to grow I think pretty quickly.
Arnold Ursaner - CJS Securities: And my final question -- most of the people have focused their questions on the Q4, the spring turnaround business. But could you just comment a little bit about how much of the Q2 turnaround work you have in hand, or maybe even more broadly, you’ve guided or hinted that you expect sequential revenue growth of 10%, Q2 over Q1. How much of that is in-hand at the moment?
Philip J. Hawk: It’s really 20% is what our guidance was, the comments, in my comments.
Arnold Ursaner - CJS Securities: I’m sorry, that’s correct.
Philip J. Hawk: -- second over first. Well, again the difficult part of that question is that exactly what the scope of all the work we are doing will ultimately be remains to be seen but we have a number of turnarounds going right now so we are staffed up and it’s kind of consistent with that 20% estimate. We won't know for sure until we can conclude all the turnarounds, as we get toward the holiday season but it’s happening. So it’s not something yet to happen; it’s happening now.
Arnold Ursaner - CJS Securities: Very good. Thank you.
Operator: And at this moment, I am showing no further questions.
Philip J. Hawk: All right, Hilda, then we can just wrap up here. To all of you, we thank you for your participation in this call and your continuing interest in Team, and we look forward to our next conference call with you. In the meantime, have a good day.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference. We thank you for participating. You may now disconnect.